Operator: Greetings, and welcome to the Envestnet Fourth Quarter and Full Year 2022 Earnings Conference Call. At this time, all participants are in a listen only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Mr. Brian Shipman, Head of Investor Relations. Thank you, Mr. Shipman, you may begin.
Brian Shipman: Good afternoon, everyone. Thank you for joining us on today's fourth quarter and full year 2022 earnings call. Before we begin, I'd like to point out that our earnings press release, supplemental presentation and associated Form 10-K can be found under the Investor Relations section of our Web site at envestnet.com. This call is being webcast live and a replay will be available for one month on our Web site. During the call, we will be discussing certain forward-looking information. This information is based on our current expectations and is not a of future performance. I encourage you to review the cautionary statement on Slides 2 and 3 for the potential risks, uncertainties and other factors that could cause actual results to differ from those expressed by the forward-looking statements. Further information can be found in our regular SEC filings. During the call, we will be referring to certain non-GAAP financial measures. Please refer to the appendix in our presentation for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. The presentation is also posted to the Envestnet Investor Relations Web site. Joining me on today's call are Bill Crager, our Chief Executive Officer; and Pete D'Arrigo, our Chief Financial Officer. Bill and Pete will provide a company update as well as an overview of the company's fourth quarter and full year 2022 results. After our prepared remarks, we will open the call to your questions. During the Q&A, please limit yourself to one question plus one follow up. You may get back into the queue if you have additional question. With that, I will turn the call over to Bill.
Bill Crager: Thank you, Brian. And thank you, everyone, for joining this evening. In 2021, Envestnet took a very deliberate stance and announced our strategy to invest in the economic opportunity inherent in our unparalleled client footprint and our breadth of services. We knew that unlocking the revenue potential of a connected ecosystem would pay tremendous long term dividends for our shareholders. We also knew that by doing so, we would experience a setback in the short term results but that would enable us to deliver the real value creation that is the goal of every sound investment in every resilient business. We are here to tell you that through an exceedingly painful year in our industry marked by stunning inflation, double digit losses in both equity and fixed income markets and a dramatic shift away from an era of low capital cost, the soundness of Envestnet's vision is paying off. In our industry leading account growth, deeper adviser penetration and the rapid expansion of higher margin services and the realization of our vision around connected data powered advice, we are demonstrating them by delivering enhanced value to our clients we will truly capitalize on our market share. And in doing so, we are turning the corner on both margin and revenue growth and affirming the path to our long term goals. We have been clear and have delivered on our stated intentions: Those are; to maximize the investment plan we outlined in February of 2021, creating acceleration of our organic revenue and modernizing our platform for greater operating leverage; driving greater engagement and usage of the platform by our clients; taking advantage of new processes and technologies to enable greater expense discipline; and reestablishing our margin expansion in 2023 and reaffirming our commitment to 25% adjusted EBITDA margins in 2025. Over the last year, we were there for our clients as they navigated through a period of deep market uncertainty and volatility. We delivered managing increased volumes, enabling foundational account growth, offering them more choices to solve the challenges of a historically difficult market. Also, we have heard over and over and over again how the evolution of investments offering is answering the strategic road maps that our clients have planned for their futures. We are delivering the leadership our clients want from us. With foresight in 2021 and from a position of strength, we knew we would create greater value by leveraging that market leadership and making our business resilient in all market cycles. We invested intentionally to modernize the platform into the cloud to better integrate with our clients. We're delivering in the marketplace with our new client portal, our data platform, a connected proposal generation tool and enhanced integrations. Also, to increase our operating leverage, becoming more efficient as we streamline and automate more of our processes from daily reconciliations and service requests to compliance reporting and client conversions as well to accelerate high margin businesses in our fiduciary solutions, integrating and enhancing technology with data into a broader set of client demanded offerings like direct indexing, tax overlay, RIA managed accounts, digital insurance platform and retirement services. Investing into this moment produces an unparalleled offering coupled with extraordinary industry reach, creating what we believe is an out-sized long term opportunity for shareholders. We are more essential and more embedded into the workflows of our clients. We have delivered for them. We are aligned with and addressing how they win in the next transformation in wealth management, and that is the next super cycle of holistic, connected advice. We've earned the right and are going deeper to be an even more important part of how they grow, how they expand revenue, margin and enterprise value in their businesses. This is what our investments and our work are accomplishing. Our results prove the strength of our business, not despite but a recognition of the environment that we're operating in. Macro headwinds were numerous in 2022. A 60/40 portfolio was down 17% its worst performance since the year 1937, and the NASDAQ was down more than 30%. Importantly, the US retail asset management industry saw over $500 billion of net outflows across the combination of long term mutual funds and ETFs and an organic growth rate last year of negative 1.7% compared to a growth rate of 3.5% in 2021, that is more than a 5% swing. In the face of the market we experienced in 2022, our operating results signal the progress our business is making. Envestnet posted $132 billion of total platform net flows, including $57 billion from AUM/A. Our 7% organic growth is a very strong result. Consider that for a cohort of large wealth management firms that have reported fourth quarter results thus far, organic fee based asset growth fell substantially year-over-year to 4% on average. In the AUM/A bucket, Envestnet posted $32 billion of AUM net flows or 9% organic growth, reflecting continued uptake of our fiduciary solutions, which typically carry more attractive fee rates than AUA. These results are significantly higher than the marketplace data that we track. Our clients are valuing in using our platform more and more, creating cross sell and bundled pricing opportunities for us. Over the last year, the number of platform accounts grew to more than 18 million that we serve, an increase of over 5%. AUM/A accounts per adviser grew 9% last year. Last year, over 130 firms on the Envestnet platform adopted a new AUM program, over 2,000 advisers using Envestnet proprietary managed portfolio for the very first time. Over 100 new solution amendments were signed across client enterprises providing thousands and thousands of advisers with access to the cutting edge features available through Envestnet, ultimately expanding their options to better serve their clients. We have signed several new contracts across the business from our financial planning business to data and analytics, the core Envestnet wealth platform. We are successfully expanding the footprint of distribution and we are importantly going deeper by expanding our services to existing clients. These results are beginning to drop to the bottom line. We have turned the corner on improving profitability. Our guidance in 2023, which is based on markets as of December 31 calls for margin expansion of around 200 basis points, which would bring the margin to approximately 20% for the year. Factors underlying this margin expansion in 2023 incorporated the anticipated pressure that we'll see on revenue growth, countered by greater operating efficiency, given our investments as well as taking tangible steps we have to reduce expenses with laser sharp focus on the most important priorities. In 2022, we streamlined the business to drive greater connectivity, client responsiveness and organizational efficiency. We see the collective benefit of all of our businesses working together and the investments made to strengthen the platform and create seamless personalized connected experiences, we are driving delivery of hyper personalization, which is a critical, critical secular trend for the industry. One example is our wealth data platform, which utilizes our data and connects that data to our next generation proposal tool in our financial planning software and those offerings and technologies then connect to a broadening array of portfolio solutions. The interconnectivity of this environment is what drives accelerated usage and more profitable growth for our clients and for Envestnet. Add on to this interconnectivity, the unique capability we have here at Envestnet to provide our clients with extraordinary insights to better serve their clients. We are now serving over 20 million personalized actionable insights a day versus 11 million insights a day last year. We have created the foundation for Envestnet's accelerated revenue growth that we articulated two years ago. The progress we have made puts us in a competitively differentiated place just as the industry is beginning to transition to a more holistic advice model. This would not have been possible without the investments we have made. The resulting opportunities to drive our organic growth rate from this interconnectivity and data driven personalization are numerous and they're meaningful. We're using our platform to help our clients move brokerage assets to managed accounts using our insights, scaling and client engagement tools and streamlining workflows. One particular client has seen an increase in their firm's managed account flows by 35% quarter-over-quarter. Another client grew their converted assets by more than 100% year-over-year after enabling this powerfully connected program. These are just two examples of how our strategy is working. If you use an actual BD example, extrapolating the conversion rates that we're seeing in asset pool size, we can model out the opportunity for Envestnet to translate into approximately $5 million of incremental organic revenue growth this year, but that will grow substantially over the next years. Other focus points we've highlighted for you in the past, the number of managed accounts on our RIA platform has grown 150% year-over-year and the number of advisers utilizing this offering is up 44% since last year. The number of advisers selling overlay offerings is up 26%, while the number of accounts with overlay attached to the account is up 33% over the last year. In our direct index offering, accounts are up 30% year-over-year and the number of advisers have grown 48% year-over-year. This is an incredibly impressive growth in the face of the market we experienced last year and demonstrates our ability to execute on our strategy. We do anticipate asset growth in these solutions to be up nearly 50% in the year ahead. We're having similar success through key initiatives that deliver efficiencies in automation internally. We expect a lower recurring adjusted operating expenses, and this is meaningful given the inflationary pressures of the macro environment we're in and also increasing volumes that we continue to serve. We reduced our non-people expenses in addition to lowering our head count in both US and India. On December 1st, we completed the transition of our data and analytics operations to Tata Consulting Services. As a result, we expect to realize savings this year of between $10 million to $13 million, a number that will increase over the coming years as our account base continues to grow. Since the beginning of 2022, we reduced our real estate footprint by 30%. By the end of first quarter '23, we will be down by 45%. The scale we have created, a scale we believe no one can match, will deliver more efficiency as our clients continue to do more on our platform. Here are some extraordinary examples. In 2022, we achieved a new milestone. We processed 220 million trade orders, representing a 31% increase from 2021, all while reducing our expense to serve this critical function. We helped our clients trade historically high volumes as we administered more portfolios than any client platform in the United States. We've created modernized scale that meets the critical needs of our clients. This is the objective of any company's modernization efforts and yet it is hard to achieve. But this leverage is just beginning for us, there is so much more to come. Here's another example. Every day, our system evaluates 233 million account details to identify instances where accounts are out of alignment with their firm's investment policy rules. This is the essence of scale, the essence of service, this is the power of investment, helping our clients in truly essential ways. Once again, our volumes are way up year-over-year while our cost to serve this function is down. In a regulated industry, these types of unique services have inherent essential value. As our clients rely on our platform more and more, we have created scale and while we are also driving meaningful cost efficiency in how we serve them. As part of our long term strategy, we're achieving higher operating efficiency for our business, and we constantly look for new opportunities to strengthen our business model. A missing element of the Envestnet business model has been the ability to complete the service cycle for our clients and generate incremental ways to monetize our services. Last quarter, we announced our partnership with FNZ, which will create a fully end-to-end digital environment that will automate and scale our clients' engagement with our company. The technology integration is underway and we are on track to be in the marketplace by the second half of this year. This is a significant step forward for our clients, for the industry and allows us to go deeper and enable us to pursue new revenue opportunities that are associated with custody, which we've never had the opportunity to do before. Begin to size that opportunity, consider that over the last three years, Envestnet has averaged over $200 billion of gross flows onto our platform. In the future, for every 10% of these flows we capture, we believe we could earn an incremental $10 million to $20 million of revenue with very attractive margins. During the quarter, we also strengthened our balance sheet by repurchasing the bulk of our 2023 convertible notes and issuing 2027 convertible notes, which we completed this past November. This extends our maturities, placing Envestnet in a strong financial position to continue executing our growth strategy and to prudently pursue attractive acquisitions and partnerships that may arise in the marketplace. In short, in 2021, Envestnet, we set our course. In 2022, we executed on it. We accelerated several investments to modernize the platform, to go deeper with our clients, to drive sustained revenue growth for the company and lift the ceiling for margin growth. We have strengthened our position in the marketplace and we are winning new mandates. We've turned the corner towards the margin expansion we are committed to. Despite headwinds from the global capital markets, we will continue to drive towards accelerated growth and are committed to achieving adjusted EBITDA margins of 25% in 2025. We're executing the strategy we set out for investors and we believe the results will create material value over the next quarters and next years ahead. I'd now like to turn the call over to Pete, who will provide details on this quarter's performance and our outlook for 2023.
Pete D'Arrigo: Thank you, Bill, and good afternoon, everyone. Our fourth quarter and full year results continue to demonstrate the strength in our business model. For the fourth quarter, both revenue and adjusted EBITDA were essentially in line with our guidance, although modestly impacted by a 1 time customer correction with a long-standing client, which was unforeseen at the time we gave guidance this past November. Despite this, our results were solid, especially given the market headwinds and economic environment we faced throughout 2022. Adjusted revenue was $292.9 million for the fourth quarter and $1.240 billion for the year. Adjusted EBITDA was $53.8 million for the quarter and $220.1 million for the full year, while adjusted EPS was $0.45 in Q4 and $1.86 for the full year 2022. Our guidance for 2023 is laid out in the earnings release and in the earnings supplemental presentation, but I want to provide some context for our outlook. Prior year comparable quarters in the wealth segment will be difficult for at least the first half of 2023, primarily due to the impact the markets had on asset based revenue. As asset values were coming down last year, the revenue impact flows through subsequent quarters, namely carrying through to this year. Using market levels as of December 31st, the annualization of the 2022 market impact would present roughly a 3 to 4 percentage point headwind to our 2023 growth rate relative to 2022. While industry flows remain under pressure, Envestnet continues to experience market share gains and positive net flows. We expect to continue to see a modest uptick in our average fee rate over the course of this year along with flows weighted more toward our AUM solutions. The Data and Analytics segment continues to face headwinds within its revenue base that we have discussed previously, primarily in research. However, as this segment completes its transformation, we anticipate improved financial results later in 2023 with a robust pipeline of new and existing client firms. Despite the near term challenges to top line growth, we expect to increase our adjusted EBITDA margin in 2023 compared to 2022 by around 200 basis points. With that context in mind, we expect adjusted revenues to be between $1.240 billion and $1.260 billion in 2023. Adjusted EBITDA is expected to be between $242 million and $252 million in 2023, reflecting the margin expansion compared to 2022, [both] Bill and I alluded to previously. Our guidance, as always, does not assume any changes in the capital markets from prior quarter end and is based on market levels as of December 31st. Many sell side analysts include market contributions in their models. However, we do not assume any benefit from the market in our guidance. Given that, we estimate that the reported revenue growth rate assumed within our guidance is lower than the consensus revenue, primarily because of the difference in this assumption, which is always most pronounced early in the year. Bill discussed the number of actions we took during 2022 to reduce our overhead. Given the ongoing uncertainty in the economy, we have taken additional steps this year to prudently manage expenses where possible. As a result, we are extremely confident in our ability to deliver margin expansion in 2023. The 80 basis point adjusted EBITDA margin increased year-over-year in Q4 compared to Q4 of 2021 is evidence of the progress we're making and supports our view that we are well positioned for increasing profitability as we head into 2023 and beyond. Turning to the balance sheet. We ended December with $162 million in cash and debt of $938 million, making our net leverage ratio approximately 3.5 times EBITDA. In November, we completed a new five year convertible note issuance in the amount of $575 million. At the same time, we repurchased $300 million of our convertible notes due in 2023 and $200 million of notes due in 2025, effectively extending the maturity out to 2027. Thank you for your support of Envestnet. And before we open it up for Q&A, I'll turn it back to Bill for his closing remarks.
Bill Crager: Thank you, Pete. We are succeeding in a challenging market by delivering what we've committed to. Our business is executing on the strategy we presented to investors two years ago. It is clear in the operating results we're reporting this evening. We have furthered the resilience and value of the business by managing expenses alongside leveraging our investments in core capabilities and scale to propel organic growth and margin expansion. We're doing this by modernizing the platform into the cloud, increasing our operating leverage by becoming more efficient, going deeper with clients and growing high margin businesses. We have turned the corner with a foundation for revenue growth and margin expansion, building on what we delivered in the fourth quarter of 2022, reestablishing our margin expansion in 2023 and reaffirming our goal of 25% adjusted EBITDA margins in 2025. We're doing what we said we would do. I want to close by thanking our clients for the amazing trust that they put in us. They recognize the value we provide for them for the long term, and it drives us. And finally, I want to thank the Envestnet team. Every day you deliver, you build, you innovate, you're enhancing advice that drives the success of our clients and millions and millions of end consumers. It is extraordinary work and I'm very proud of it, and I want to thank you. Now I'll hand the call back to the operator for questions. Thank you very much.
Operator: [Operator Instructions] And our first question is from the line of Devin Ryan with JMP Securities.
Michael Falco: This is actually Michael Falco standing in for Devin. I wanted to start on the growth outlook. In the presentation, you highlighted a number of areas that are going to drive an acceleration in revenue growth to your mid teens target, including RIA, retirement and insurance on the AUM side and then wealth data aggregation and partnerships on the subscription side. So I'm curious within that, what do you view as the maybe couple of most compelling opportunities that you expect are going to drive the bulk of that growth?
Bill Crager: I look at the momentum that we exited 2022 with in some of these growth areas, and what we've seen is a pretty significant uptick in some key areas. Let me spotlight first, our high net worth offering. And that simply is an outsourced consulting service that we work with advisers to help them serve higher net worth clients. And in that area, where our basis point range is somewhere between 20 basis points to 35 basis points. We have more than doubled the number of advisers who have access to that program during 2022. Our flows are up significantly in that program as we enter 2023. Anecdotally, I'd just add that through the middle of February here, our flows are probably up 55% year-over-year early in the year in this solution. And so it's got a very high revenue contribution and a very significant EBITDA contribution. I spotlighted RIA managed accounts on the prepared remarks and how we've greatly enhanced the assets that we serve and accounts that we serve by 150% in that category in 2022 and also adviser growth of 44% last year. So we have more users utilizing that solution, which is driving from off of our sub base. So they're using our technology, but now we're introducing asset based product to them that they're utilizing at an increasing rate. Again, as we turn the corner from '22 to '23, we exited the year with a lot of momentum, and we're seeing continued uptake in RIA managed accounts. On the insurance business, which we spotlight there. We were working off a small base as we got into the year last year, but we were up 500 times in managed assets in our insurance platform, and we exited with the highest momentum of the year. So we rolled into 2023 with pretty extraordinary momentum there. We've clearly kind of reached the corner on that business and becoming the foundational tool for annuity based, especially fee based annuity product in the industry. What's so interesting there is that 98% of the assets that we're serving today on that annuity platform, they're fee based annuities. That's the inverse of the entire market, and it's where the industry really wanted to get to more aligned fee based type annuity products. So we're -- 98% of our assets that we grew last year are fee based and those are more valuable. They've got recurring revenue, they're good for the adviser, they're good for their relationship, they're good for the manufacturer and they are also a good -- a very strong contributor to Envestnet. To give you a sense of kind of the opportunity pool that we believe we have in the insurance platform. In 2023, we'll onboard our largest clients to use and have access to the insurance platform. And as part of that, what we do, Michael, is we bring the back book of insurance business onto Envestnet. We use our data engine to evaluate opportunities for advisers. And so by the end of last year, we had built that back book business up to about $27 billion. Our anticipation is that will grow by 3 times this year. So we're seeing a lot of use across these solutions, growing use and growing availability to the number of advisers, and then growing use of these solutions by advisers. I think one of the headline numbers that I spend a lot of time thinking about, and I cited this in the prepared remarks. Last year -- in last year's market, accounts per adviser were up 9% year-over-year. So what we set out to do was to introduce more capabilities to advisers to centralize their usage within the Envestnet ecosystem and that is clearly working. We defined the tape pretty significantly with adviser usage and adviser account growth in 2022. And that rolls in with a lot of momentum as we get to 2023.
Michael Falco: And then for my follow-up, I appreciate we're very early in the journey in the custody. But can you give any perspective on how you're thinking about the economics there and then the addressable market for Envestnet relative the broader custody market as a whole?
Bill Crager: I think first off, from a service standpoint, let's just kind of set the stage for everyone. What this is, is an integrated, fully digital environment from the Envestnet ecosystem. So the account opening, the account administration, the account servicing becomes really streamlined. Administratively, we're extracting a lot of the cost that advisers have to open and manage accounts and connecting from the front of the process all the way back through to the execution and storage of the assets. That is differentiated. It's also real time, Michael. So the data that flows back and forth between the FNZ back end and the Envestnet platform will not happen in a batch process, but it will happen continuously throughout the day, and that is also a differentiated capability that we're excited about. And as we've introduced this to our clients around certain programs that we'll roll out, there's been a really strong feedback and response from our client set. But the one area I would really spotlight that we were outperformed in 2022 is cash. We don't have a vehicle to monetize cash on our platform. And if you look at the surrounding comps to Envestnet, the growth and the real kind of lift that those businesses experienced in 2022 is right there. It's in cash. So we believe that given our enhanced service model, the digitization of this administration of accounts, the real time nature of it, the cost effectiveness and embeddedness of it, we believe that we will flow assets beginning here in 2023 and that they will contribute to the top line and then significantly to the bottom line. And I cited kind of a use case where if you look at our gross flows on an annual basis of $200 billion, we won't capture 100% of those. We won't capture the majority of those, but we will capture a percentage of those. And those will contribute significantly to the overall growth rate of the company from a revenue standpoint, but importantly, as well to the bottom line.
Operator: And our next question is from Surinder Thind with Jefferies.
Surinder Thind: A bit of a housekeeping question to start. Can you talk about the breakdown in terms of the growth outlook for next year in terms of the AUM/A segment versus subscription and licensing and maybe even a level deeper than that on subscription licensing, and also the inorganic contribution next year?
Pete D'Arrigo: When we think about the organic contribution, of course, the market impact has a carryover effect. I mentioned a bit of that in the script. That is a headwind of, as we said, 3 to 4 percentage points, that's all going to be AUA based. But on the AUA basis, it's a higher percentage, right, because the 3% to 4% is on the total asset base. So again, in the range of AUA asset based revenue for the year to be about flat, which we think translates to around 6% growth. And then on the sub side, it's in the range of mid single digits, 4% to 6% maybe and the wealth side is growing a little bit faster than the D&A side. We talked a little bit and we've talked over the past few quarters about kind of working through some challenges and the headwinds, which are persisting into 2023. We do expect, as we leave 2023, we'll be at a much higher growth rate than we're entering 2023 for all of that subs business.
Surinder Thind: And then taking a bit of a longer term view here, as you kind of work through the changes to your operating structure. Is the goal here that we should see some stability by 2025 on a run rate basis here? I kind of look at the differences between the GAAP and the non-GAAP earnings and that spread continues to grow. And at that point, how should we think about your target for organic growth over the next few years? You had laid out kind of a plan at the beginning of the investment cycle. And where do you think that you guys can get to from an organic growth perspective on a sustainable basis?
Bill Crager: So let me just take kind of a higher view and then I'm going to get to the details in your question. And it's worth spending just a minute on it, because I think the '22 environment and just setting it into a competitive context is probably important to do. The company, Envestnet, outperformed from an account growth, a net flow growth, usage growth, any of the kind of comps that we may -- that we track, $57 billion in AUM/A net flows in 2022. I mean that was down 35% from the year before. Why? Well, the market has a lot to do with that, but also the industry has been significantly impacted from a flow standpoint. And I cited the industry data of a negative 1.7% net outflows in 2022. We fought tape. We outperformed significantly and said at the top tier in the results that we were able to bring on to the platform. It is in foundational to the organic growth that this company will generate in the future. Some other data points that I think are important. Six publicly traded wealth management companies saw their net flows decline -- we declined by 35%. Six publicly traded wealth management companies, they saw their net flows drop by 50%, average of 50% in 2022. Asset managers, publicly traded asset managers that we track, they saw their net flows decline by 70% last year. There are two publicly traded TAMs that we track and look at closely, their range of flow degradation last year is between 40% and 60%. We outperformed. And it's really important because what that does is it adds more accounts, more advisers using our services, but at reduced values inside those accounts. And as the market stabilizes and the market expands, that will drive accelerated growth, organic growth for the company. So we've been gaining share. We've been growing our account pool pretty substantially last year, growing the number of users or users of our solutions in a really difficult market. So when I look at our organic growth rate year-over-year, '21 to '22, we went from 13% to 7% AUM/A organic growth, that is much -- it's certainly a step back in '22. But competitively, it is a significant outperformance. So I talked to Michael -- answer Michael's question about some of the things that will contribute to the organic growth going forward. We left the year last year with tremendous momentum in these higher value, tend to be higher revenue, higher margin solutions and the adoption rate, the floor plan or the footprint of our distribution grew substantially. And then the usage is growing very substantially from an adviser standpoint, and you can see it in our account growth. And then if you look at our sequence of 2023, Surinder, it's important to note that we'll exit the year with double digit growth. And that is as we burn off the comps of ‘22 over ‘20 -- to ‘23 and also we begin to overcome the impact of the markets last year. So it's not a question of if we get there, it's a question of we need a bit of help from a stabilization in the market. And as the market stabilizes, we believe we're going to see the 15% organic revenue growth rate that we committed to, and we believe we'll achieve that by 2025, given a stable or stabilized market. So it's a long answer, but I think it's important to provide that context. We are making progress in that growth strategy that will drive long term value and long term growth for the company. We're more deeply positioned with our customers and we're getting more usage from advisers in higher value solutions, that's exactly what we set out to do.
Pete D'Arrigo: And Surinder, just following up on that, you did ask about the acquired revenue in '22 and '23. The timing of the acquisitions we had was basically middle of the year. So if you add them all together, they came on at a run rate of about $10 million. So acquired revenue was about $5 million in 2022, $5 million in 2023. And then we're already starting to see sprouts and really good opportunities for growth in those acquired businesses, both in D&A and in the wealth side.
Bill Crager: And then you had one other question, Surinder, regarding free cash flow and how we view kind of that expense set for the company. As we've made the investments, we brought down EBITDA. But we -- what other things that come along with that is we've recruited over 1,000 kind of value driving -- future value driving individuals into the company who are more data driven, data science, UX, API coders, et cetera, we used -- as you look at the '22 number, we use stock based comp to incent everybody to align the team into our objectives. That will be managed on a go forward basis. We use CapEx as we're capitalizing more software as we're pulling more and more of our environment into the cloud, there are capitalized cost to come with that. That will level off and begin to come down as we reach the back half or the back end of our investment cycle. And then you look at the consolidation costs or the restructure costs that the company, we've gone through a very substantial integration of the company. And with that comes transitions for individuals that we brought the organization more tightly together. And we've also separated from individuals as we've gone through that. And so those are all kind of part of the process as you go through an investment program. So yes, we're very aware of it. It's a very important priority as we manage our way through the back end of this investment cycle, and you'll see improvement in those costs as well as we get through the year and into '24 and '25.
Operator: [Operator Instructions] Our next question is from Michael Cho with JPMorgan.
Unidentified Analyst: This is Madeline on for Mike. Can you share some trends you're seeing in the data and analytics business in terms of new user growth trends, utilization and yield per user? And maybe also discuss the sales cycle and renewal time lines you're seeing in that business today as well.
Bill Crager: Overall, the data business, what we saw last year was we have signed a significant number of new logos. We have increased our users on the data platform, lowered yield per user as we saw higher components of usage in areas that just have lower yield per user versus things like account verification in other areas, our larger fintech clients have kind of slowed in that area. So we saw really good momentum, I would say, overall in new client -- new client sign-ups, user growth. And I think that kind of bodes well for our future in that business. I'm also -- I also pay quite a bit of attention to how we exit the year. And we exited the year in our data business with a far, far stronger pipeline of institutional opportunities and also fintech opportunities than we started the year. And as we look at our business, we see the pipeline kind of growing anywhere from 2 times to 10 times depending on the capability within the data business. Most interested or most kind of where we're really seeing the queue deepen and our onboarding accelerate is in something that we call the wealth data platform. We've been talking quite a bit about that, that is assembling all the data for our enterprise and RIA clients, helping to normalize that, helping to reconcile and enrich that and then publish it out into the adviser's ecosystem. Into that, we provide insights or recommendations, if you will, on how that adviser can better manage or engage their clients, and we're seeing pretty significant uptick in the clients that we're onboarding as well as the pipeline. I would say that between 4Q of '22 and 1Q here where we sit in February, we've seen a doubling of that opportunity set for us. So there's lots of interest and lots of very good traction as we get to the introduction and rollout of our wealth data platform with our customers. From there, Madeline, what's important to realize is that as we offer the wealth data platform, it connects back to our entire ecosystem of technology and solutions. So it will drive faster adoption of those high value asset based solutions that I spoke about earlier. And really, the data is looking across today, 91 different opportunity sets for advisers that range from -- we talked about in the prepared remarks, moving brokerage assets to managed assets, but can go to how can I consolidate a loan portfolio for a client, how can I help a client optimize their insurance portfolio? Things like that, that are really helpful for the adviser. The last point I would make is around the research business. And the research business for analysts and investors to realize is we use our data in a anonymized -- de-identified way that helps create insights for asset management firms to make investment decisions. And that business has been a headwind for us. It's been a significant headwind for Envestnet and for the data business, because there's been increased competition in that space. And really, over the last three years, we haven't had a substantial upgrade in the data product itself. And so what we found is that we've got pretty good retention from a client standpoint, but those contracts have been renewed at reduced rates. We've made a lot of progress there. And so as we look at the second half of '23, we fully anticipate that, that research business is going to begin to post growth versus some of the pull that we felt from that business. And it's because we have improved the data set. We are offering new features and functions that are differentiated to the data that is existing in the market. And the response so far has been pretty important for our clients. In Q1, again, year-to-date, I think it's February 23rd. So between the beginning of the year and February 23rd, our pipeline and our interest from clients is 2 times what it was as we ended '22. So it is -- the interest in our data set and the research product is growing materially. And I think it bodes very well for the back half of the year when we think about the research data business.
Operator: And our next question is from Patrick O'Shaughnessy with Raymond James.
Patrick O'Shaughnessy: Can you speak to the thought process behind the share repurchases that you executed in the fourth quarter and then your capacity and willingness to continue repurchases as we move into 2023?
Pete D'Arrigo: So we were kind of tracking throughout -- really, we got the authorization a couple of years ago and have been tracking opportunistically as the price dipped. Obviously, in 2022, there were periods throughout that we took advantage and bought in some shares. And in the fourth quarter, in conjunction with the debt issuance, the convertible note issuance, we wanted to do as much as we could to both return capital to shareholders as well as mitigate some of the share dilution that comes along with convertible note issuance. So we were a little more aggressive in the fourth quarter to do that. I think going forward, again, we will continue to be opportunistic. We have run up toward the end, although we do still have some capacity with the authorization from the Board. And as we see opportunities, we're certainly -- we’d consider going back and asking for a greater authorization from our Board.
Patrick O'Shaughnessy: And then obviously, this past quarter, there was some public filings by an activist shareholder. Can you characterize your interactions with Impactive Capital, and where do you see this heading?
Bill Crager: Yes, of course, we're aware of the filings and publication that Impactive has published. And I think I'd take it a step back and just kind of talk about -- two years ago, we were investing so that we could bring the parts of Envestnet together. We can leverage the power of data to drive growth. We could solve the opportunities and issues that our clients have and deepen our competitive advantage. We've done those things. And it took investment dollars to do it. We said we'd also, two years ago, create sustained operating leverage for the company. I talked about it in the prepared remarks that we want to lift the ceiling for margin expansion for the company. And I think we're really creating the environment to do that. We're automating more of our servicing. We've transitioned and rebalanced the kind of the organization to value creation and value extraction versus administration. And you're beginning to see and we're beginning in our outlook, beginning to deliver the benefits of those things. And so my strong belief and of course, we had the opportunity to talk to lots of investors over the last quarter at the end of 2022. And what I hear is the drive towards greater profitability and delivering on free cash flow. And as we turn the corner here and get into 2023, we've given guidance around our margin expectations. I talked a bit about how we'll continue to manage on those free cash flow items, and you'll see though there's benefit that lies ahead for us in '23 there. There's a lot of alignment, Patrick. And I think that at the end of the day, I believe that what we've done here is that we've created alignment for our customers in what they need and how we brought the company and our capabilities together, and that's been very well received. And I believe beginning in the fourth quarter of last year, and now we will execute it on a go forward basis, there's going to be really a high degree of alignment with our shareholders. And I say that at a high kind of encompassing level there, but there's a lot of alignment. And I believe it's how we're operating the business and I believe that, that is something that investors are going to benefit as we go forward.
Operator: There are no further questions at this time. I would like to turn the floor back over to Bill Crager for closing remarks.
Bill Crager: I want to thank everybody this evening for joining us. Again, I'd like to thank very much our shareholders for your support of Envestnet. Thank once again the team here at Envestnet who has done a tremendous job in bringing the parts of our company more closely together to deliver real benefit to the marketplace and our customers as well as provide what I believe will be a long term value creation for our shareholders. Thank you very much. I look forward to speaking to you next quarter.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.